Operator: Good morning. My name is Heidi and I will be your conference operator today. At this time, I would like to welcome everyone to the Mohawk Industries First Quarter 2016 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. As a reminder, ladies and gentlemen, this conference is being recorded today, Friday, May 6, 2016. Thank you. I would now like to introduce Mr. Frank Boykin. Mr. Boykin, you may begin your conference.
Frank H. Boykin - Chief Financial Officer & Vice President, Finance: Thank you, Heidi. Good morning, everyone, and welcome to Mohawk Industries quarterly investor conference call. Today, we'll update you on the company's results for the first quarter of 2016 and provide guidance for the second quarter. I'd like to remind everyone that our press release and statements that we make during this call may include forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995, which are subject to various risk and uncertainties, including, but not limited to, those set forth in our press release and our periodic filings with the Securities and Exchange Commission. This call may include a discussion of non-GAAP numbers. You can refer to our Form 8-K and press release in the Investor Information section of our website for a reconciliation of any non-GAAP to GAAP amounts. I'll now turn the call over to Jeff Lorberbaum, Mohawk's Chairman and Chief Executive Officer. Jeff?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Thank you, Frank. During the quarter, Mohawk delivered an outstanding performance. Our earnings per share were $2.38, excluding unusual charges, an increase of 40% of the prior year and the highest first quarter earnings per share in the company's history. This is the eighth consecutive quarter in which the company has delivered record adjusted EPS. For the period, our adjusted operating margin rose to a first quarter record of 11.6%, an increase of 200 basis points over the prior year, as a result of acquisitions, volume, productivity and input costs. Revenues grew across all segments, with first quarter net sales increasing 15.5% as reported to $2.2 billion, the highest sales figure we have ever reported for any quarter. All of these results were achieved with one less day in the period than last year. We entered 2016 with an optimistic outlook. And our first quarter results exceeded our projections, with strong results from all three of our segments in both revenues and margins. Our recent acquisitions continue to improve our performance, with the synergies enhancing our existing and acquired businesses, and the lower impact of the U.S. dollar benefited our results. After completing four acquisitions during 2015, we have the capacity to absorb additional opportunities if they become available. Our major capital projects initiated last year are progressing as expected, with: the first production line in our Tennessee ceramic plant now operational; our U.S. LVT production accelerating; the second phase of our European ceramic upgrade now complete. Each of our capital expansion projects creates significant long-term value, adding new revenues by increasing our product offerings and our customer base. Typically, these projects take one to three years to achieve their full benefit. All of these investments could provide higher returns than our acquisitions, though start-up costs impact our immediate results. In 2016, we have identified more opportunities to grow our business and have already approved additional LVT production lines in the U.S. and Europe, the doubling of our Mexican ceramic plant in Central Mexico, the final phase of our European ceramic upgrades and the expansion of our U.S. and European premium laminate production with new technology. We anticipate investing more than $600 million in capital projects this year, and we are assessing further internal opportunity. Similar to 2015, the U.S. economy had a soft start this year, but continues to benefit from solid job creation and low interest rates. Despite sluggish new home starts in March, the National Association of Home Builders affirmed the recovery of the U.S. single home family market. With home prices rising and existing home sales strong, the Harvard LIRA Index is forecasting residential remodeling to accelerate throughout the remainder of the year. An April home improvement survey indicated that half of U.S. homeowners are planning remodeling investments this year, and new flooring was the second most common project being anticipated. The consensus among commercial construction forecasts is for continued growth during 2016, with hospitality and office space sectors leading the category. In Mexico, government spending has benefited the country's construction sector, which continues to drive high ceramic growth. In Europe, the Central Bank's latest round of interest rate reductions and its Asset Purchase Programme are supporting the region's economy. The Russian economy remains in a recession, with continued pressures from low oil prices. In 2016, we're investing in all of these markets to position Mohawk for future growth. Turning to a review of our first quarter performance by segment, our Global Ceramic segment sales were up approximately 8% as reported. On a constant days and currency basis, the segment grew 11%, with the legacy business up almost 9%. Adjusted for operating income for the segment, it rose 18% on a constant currency basis over last year to an operating margin of 13%. Our North American ceramic business, which constitutes the majority of the segment, reflects a strong U.S. market, where U.S. ceramic continues to gain share. Our business through our service centers grew the fastest of all our channels during the period, as we invested more in sales personnel, marketing and new product introductions. Within that channel, the combined American Olean and Marazzi service centers had the highest rate of growth, as our consolidated approach expands our customer base. We're continuing to upgrade our showroom slab warehouses, and aggressively promoting business through user-friendly websites and social media. Throughout our network of almost 300 service centers, we're rolling out paperless sales and operation processes to improve customer service and enhance efficiencies. We continue to expand our independent distributor base, which will improve our penetration in the market. Our new floor and wall tile products are gaining additional placements in the home center channel, as those as retailers place greater emphasis on the category. Our new product innovations in wood and stone looks, as well as smaller shapes, are growing our business and winning industry awards. To support our growth, our new plant in Tennessee initiated production on schedule and the first line is running well. The plant's remaining two lines will be operational between now and August. To satisfy increased demand in the U.S., we are utilizing our worldwide ceramic assets in Mexico, Italy, Bulgaria and Russia to support our domestic production. Our Mexican ceramic business is outpacing the market, and is the fastest-growing part of the segment. Our mix and margins continue to improve as we expand our distribution. The plant we acquired in Western Mexico last year is operating well and continued to improve its productivity and cost position. We're finalizing the expansion plans to double the ceramic plant near Mexico City, with construction beginning in the second quarter. We're continuing to increase our customer base in the market, adding new distributors, expanding home center placements, and increasing our participation in new construction projects. All of our plants in Mexico are improving their productivity and quality, as we introduce larger sizes, as well as specialized shapes. Our European ceramic business continues to improve in line with our plan, with sales growing in the first period. We are increasing our investments in sales personnel, merchandising, retail training and brand advertising to enhance our distribution. The second phase of our equipment upgrades have been installed and is operational, improving our cost and service levels. Additional investments have been approved to modernize the balance of the original assets that we acquired in 2013. We continue to introduce innovative products that will expand our margins, including stone looks, thin and 3-dimensional wall tiles and cement designs. Our KAI acquisition continues to progress, as we enhance the product offering, organization and reporting systems, while expanding sales to Western Europe and the U.S. Our Russian ceramic business continues to outperform the market, which remains challenging, as the economy contracts and investments in real estate decline. Our sales during the first quarter increased on a local basis, while our margins narrowed due to inflation and lower mix. We're introducing many new products and strategically opening owned and franchised stores. We're implementing equipment upgrades to optimize our manufacturing of new sizes. And this fall, a new production line will expand our premium offerings. We continue to approach the market aggressively, which will enhance our position when the Russian economy rebounds. During the quarter, our Flooring North America segment sales were up 7% as reported. On a constant days basis, the segment grew approximately 9%, with legacy sales up 4%. Adjusted operating income for the segment rose 42% over last year to an operating margin of approximately 9%. Our first quarter adjusted profit margin for the segment improved, as a result of process efficiencies, investments in new technology, differentiated new products and cost improvements. Last year, we began expanding our investments in sales personnel and marketing to broaden our distribution in carpet and hard surface products. To optimize their performance, our sales organizations are specialized by both product and channel, and we are supporting them with greater sampling, merchandising, and retail training. Our hard surface products continue to deliver substantial growth as we expand our market share, as consumer flooring preferences shift. Growth in value priced polyester carpet and lower commodity pricing are reducing our average selling prices, as lower raw material costs are reflected in the market. Despite these pricing pressures, the investments we made last year to differentiate our products and reduce our manufacturing costs are improving our margins. As a reflection of our investment and product innovation, Mohawk's new SmartStrand collections won all three major dealer awards at the national trade shows. We continue to build on our strengths in premium residential carpet, with innovative products such as Continuum polyester with odor-eliminating technology and Silk Naturals, which replicates wool with a superior softness, texture and durability. These introductions are being well-received by retailers and should enhance our mix as homeowners seek luxurious softness and improved performance. Our commercial margins improved with the success of our fashionable new product introductions and streamlined manufacturing processes. During the period, our retail hospitality and healthcare channels were the strongest, in line with industry trends. Our commercial carpet tile continues to grow, as we expand our specifications with large end-users as well as increasing our transactional business. We are completing the consolidation of our woven manufacturing into one location, which will improve our efficiencies and deliver better service and quality. During the quarter, our hard surface sales increased across all channels as we leverage our carpet relationships. Our high style laminate collections are outpacing the market as consumers gravitate to realistic visuals, the enhanced texture and unique water-resistant technology. Our engineered wood sales grew substantially in both new home construction and remodeling. Our longer and wider wood planks are being well-received by consumers as a higher value alternative with contemporary styling. We have announced a wood price increase of 6% to 10% effective on May 15. We are increasing sales of our sheet vinyl under our Mohawk brand. Our LVT sales are growing dramatically in both residential and commercial sectors, as we ramp up production at our new U.S. plant. The plant is making significant progress, and its operation should be optimized by the end of the year. LVT remains the fastest-growing flooring product globally. And we are extending our U.S. leadership in the category with the further expansion of our Georgia facility. The additional capacity will be operational at the end of 2017. Our manufacturing plants and all products are improving process efficiencies and quality, as we are implementing equipment upgrades to extend our competitive advantages. To support our business growth, this year we're expanding our capacity in premium laminate, carpet cushion and polyester carpet and rugs. We're adding another shift to our engineered wood plant, and investing in new capacity for longer planks. For the quarter, our Flooring Rest of the World segment sales were up 56% as reported. On a constant days and currency basis, the segment increased 62%, with legacy sales up 4%. Adjusted operating income for the segment rose 70% on a constant currency basis to an operating margin of approximately 17%. The European flooring market is slightly improving, with the LVT and wood categories experiencing the greatest growth. Our laminate and wood business in the region outpaced the market trends due to our emphasis on higher-end product categories that are differentiated. Our laminate sales are outperforming, as our deeply-textured water-resistant collection continues its strong momentum in the market. To meet growing demand for longer products, we're installing additional laminate capacity over the next 12 months to 18 months. We've completed the integration of the IVC business, which is reducing our costs and improving efficiencies. To offset currency changes in a number of European countries, we're implementing laminate price increases. In Russia, we are focusing on the premium laminate market, and our plant is operating near capacity. Our engineered wood sales rose significantly during the period, benefited by expanded sales under our Quick-Step brand and our direct distribution. Our Czech wood plant is operating near capacity, with additional product for the European market being supplied from our Malaysian facility. We anticipate further investments in our wood plant this year to reduce costs and streamline operations. Our material costs during the period were higher, as we increased manufacturing to meet demand, and we will implement price increases to compensate for the effect of raw material inflation. Our sheet vinyl plants are fully utilized in the period, and our margins improved as we increased our residential mix and commercial sales. During April, we experienced a fire at one of our Belgian sheet vinyl plants that will reduce sales in the second quarter by about €3.5 million and income by about €500,000 after the insurance recovery. Our LVT sales are growing substantially, as our new Belgian production expands and we source products to grow even faster. Additional equipment will be installed in the facility in July to substantially increase our production of LVT. Due to the continued strength of LVT around the globe, we anticipate sales will exceed capacity of the two European LVT plants. To meet the higher demand, we have announced plans to further expand our LVT manufacturing in Belgium by the end of 2017 also. Our insulation panel business grew significantly during the period, primarily through the acquisition of Xtratherm, which was completed at the end of last year. We now operate five regional insulation panel facilities in Belgium, France, the UK and Ireland, extending our geographic reach. As we integrate the Xtratherm acquisition, we have realigned our insulation organization and are improving efficiencies through the implementation of best practices. Our boards and roof panel businesses are delivering improved sales and margins as we upgrade the mix and equipment. I'll now turn the call over to Frank to review our financial performance for the period.
Frank H. Boykin - Chief Financial Officer & Vice President, Finance: Thank you, Jeff. Net sales for the quarter were $2.172 billion, up 16% from last year or 6% on a legacy basis using constant days and exchange rates. FX was a $26 million headwind in the quarter. We had one less day in the first quarter, and we will have one less day in the third quarter this year compared to last year. We will have one more day in the second quarter and the fourth quarter this year compared to last year. All segments and regions grew, with ceramics showing the strongest performance. Our gross margin as reported was 29.5%, or 29.7% excluding non-recurring charges. That's up 200 basis points compared to 2015 results. Volume, productivity and input costs drove higher margins. SG&A was $393 million, or 18.1% of net sales excluding charges, which is flat with 2015% to net sales. Sales and marketing investments made in the quarter were offset by leverage from higher sales this year. Our investments are benefiting both sales volume and mix for our business. Unusual charges were $7 million in the quarter, and were related primarily to acquisition integration and cost reduction through restructuring activities. We estimate $25 million to $30 million for the full year for these charges. Our operating margin excluding charges was 11.6%. The margin grew in all three segments. And our total margin grew by 200 basis points in the quarter, with volume, productivity and input cost driving improvement. FX impacted our earnings negatively by $3 million. Interest expense at $12 million for the quarter improved due to lower rates after the $254 million 2016 bonds were rolled into our commercial paper program. We estimate our full-year interest to be in the range of $45 million to $47 million. Other expense was $4 million, an increase over last year due to FX transactional adjustments. Our income tax rate was at 25.4%, which is 50 basis points higher than last year. We estimate our full-year tax rate to be in the range of 24.5% to 25.5% for the full year, and slightly over 25% for the second quarter. Our earnings per share excluding charges were $2.38, an increase of 40%. If we move to the segments, the Global Ceramic segment sales as reported were $774 million, which up 8% over last year, and our legacy sales were up 9% on a constant days and FX basis. On a local basis, all regions saw strong year-over-year growth. Our growth was driven primarily by volume and the KAI acquisition. FX in this segment was a $17 million headwind. Operating income margin excluding charges was 13%, up 110 basis points, driven by volume and productivity, which offset SG&A increases and start-up cost. Investments made in SG&A and start-up costs will expand future sales and margins for us. In the Flooring North American segment, sales were $906 million, an increase of 7% as reported. Our legacy sales on a constant days basis grew 4%. Our rise in sales was primarily from hard surface volume growth and the IVC acquisition. Our operating income margin excluding charges was 8.7%. That's an increase of 210 basis points from lower input cost, productivity improvements, and our acquisition. In the Flooring Rest of World segment, sales were $492 million, an increase of 56% as reported, with legacy sales, using constant days and FX, up 4%. Foreign exchange was a $9 million headwind this quarter. The increase resulted primarily from our IVC acquisition. Our operating income margin excluding charges in this segment was 16.7%, an increase of 90 basis points from the acquisition, higher volume, productivity and lower input cost. In the early second quarter, we had a fire in our sheet vinyl plant. The plant is currently running and fully repaired. And we expect our insurance to cover all property and business interruption loss, with the exception of the €500,000 deductible. And then, finally, in our Corporate and eliminations segment, we had an operating loss of $9 million, and we expect a full-year loss of approximately $35 million. Turning to the balance sheet, our receivables were $1.407 billion, with our days' sales outstanding flat at around 52 days, both this year and last year. Our inventories were $1.652 billion, with our inventory days continuing to show strong improvement at 109 days this year compared to 113 days last year. Fixed assets ended the quarter at $3.224 million. And this includes in the first quarter, capital expenditures of $141 million and depreciation and amortization of $100 million. CapEx for the full year is estimated to be between $600 million and $650 million, and our depreciation and amortization is estimated at $400 million for the full year. Our long-term debt ended the quarter at $3.3 billion, and our leverage at 2.1 times debt to pro forma EBITDA. I'll now turn the call back over to Jeff.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Thank you, Frank. Mohawk delivered another strong quarter during the first period, with all of our segments enhancing their position in the marketplace. In the U.S., increased investments in marketing products and distribution should increase our sales and margins across all product categories. Though growth in Europe is limited and Russia remains in a recession, we're anticipating improving our market share and positioning ourselves for the future. We're investing in our businesses at the highest rate in history, to expand our product offerings, improve efficiency and increase capacity. Our recent acquisitions have been significantly integrated, and our financial leverage has been reduced. So we can pursue additional opportunities as they become available. Taking all these factors into account, our guidance for the second quarter is $3.29 to $3.38, which would represent a 22% to 26% increase over 2015, excluding any restructuring charges. Our first quarter performance reflects the positive impact of the investments we have made in the business over the past three years. The incremental capacity increases planned for this year and next will support additional sales of $1.2 billion to $1.4 billion across our businesses. Our unique products, marketing and manufacturing position will enhance our operating results going forward. We'll now be glad to take any questions.
Operator: Your first question comes from the line of Susan Maklari from UBS. Please go ahead.
Susan Marie Maklari - UBS Securities LLC: Thank you. Good morning. I'm wondering to start off with if you can talk a little bit more about some of the raw material cost. It seems like some things are working perhaps more in your favor, while others are becoming more of a headwind. Can you just give us some overview on what you're seeing there?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Yeah. The biggest changes in raw material are in our North American segment. Presently, the raw materials, we're assuming for the year, are going to remain about stable, given where we see the markets and the flow-through of the costs. Our mix in the cat in this segment is improving, but, at the same time, our average selling prices are coming down. As at the same time, the commodity prices have declined as the industry has passed through the raw material costs. Even with that, our margins are expected to increase from operational improvement and new product initiatives.
Frank H. Boykin - Chief Financial Officer & Vice President, Finance: And I'll just add, because I know it will come up later. For the quarter, in the North American segment, if we look at the first quarter this year compared to first quarter last year, our input costs were a positive $25 million, which includes our raw material benefit, and then our price mix was a negative a $7 million for the quarter.
Susan Marie Maklari - UBS Securities LLC: Okay. Thank you. And then, as we sort of think about the investments that you're making this year, the $600 million or even higher than that, is that in any way reflective of sort of the pipeline of potential acquisitions that you're seeing? Has anything changed perhaps in terms of the size or the level of opportunities that you're seeing that is kind of causing a shift to more internal investment versus other opportunities?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: No. What we were trying to make sure we got across is that: we have absorbed the acquisitions to levels where we're doing normal incremental improvements; that the CapEx, where we've identified more of the normal projects that are in the basis and we're executing those; that the leverage has improved; that low interest rates are enabling financing of additional projects at low rates; and we believe the management and the balance sheet can take on more of both. And we're aggressively looking for them and we didn't want you to get surprised if we found more of them as we go through the year.
Susan Marie Maklari - UBS Securities LLC: Okay. Thank you. That's helpful.
Frank H. Boykin - Chief Financial Officer & Vice President, Finance: You're welcome.
Operator: Your next question comes from the line of Keith Hughes from SunTrust. Please go ahead.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Thank you. The organic growth for the full company over the last year or so, it's substantially higher than we've seen in some time. I know your mix has changed as well. As you look out near-term, is there anything that would cause that to change from this kind of mid-single-digit number we've seen, either positive or negative?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: We don't see anything that's going to dramatically change the trend. The investments we're putting in are trying to drive more of it. There's a timing issue between when we put them in and when they actually occur. And then, whatever happens to the markets happens and we'll adjust to it as we see it.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: And I guess the follow-up question, on the investments you had referred to, is there any particular projects, you don't even have to name what they are, that are abnormally high in terms of the returns that we would see, kind of a spiky move in margins once they fully ramp in or would it be more consistent?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Well, listen, I'm going to try to give you a really high level which I gave in the thing I did before, but I'll try to summarize it for you. The $600 million is invested across almost the business. The major projects include a ceramic increase in the U.S. Mexico, Europe and Russia we're increasing capacity in all of the markets. We have plans to expand our LVT, wood, and premium laminate capacity in the U.S. and Europe. And we are expanding our polyester for both our carpet and rugs. I mean, those are the big high-level pieces.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Okay.
Frank H. Boykin - Chief Financial Officer & Vice President, Finance: Keith, I would just add that I wouldn't expect to see, as you described it, a spike in our margins. I think our margins, as we've said, related to all the activity that's going on in the business, we're going to continue to see them improve in each of the three segments this year compared to last year, but at a slower rate of change than what we saw in 2015.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Okay. Thank you.
Operator: Your next question comes from the line of Stephen Kim from Barclays. Please go ahead.
Stephen S. Kim - Barclays Capital, Inc.: Yeah. Thanks very much, guys. Kind of as a follow-up to that second question, or Keith's second question, you all have been doing a tremendous amount of productivity initiatives over the course of the last couple of years. And you made an interesting comment in the release about how typically you would expect to see these projects reach their fullness in one to three years. Given the number of productivity initiatives you have, I was curious if you could comment as to when you think, in aggregate, the projects that you've already undertaken are likely to see their biggest step-up. Was that in 2015? Would it be in 2016 or 2017, as far as you can see today?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: There's no way for me to answer the question. There's so many numerous projects with all kinds of different timeframes in them. So and I'll give you examples on extreme. The new equipment that we're putting into our ceramic business in Europe is replacing old equipment. It's going in. We have trained people to do it. The market is there for it. So we shut down stuff. We put it in almost immediately. And almost immediately, it starts running close to what we expect. On the other extreme, we're putting in an LVT plant that's coming up now. It's new equipment that's never been run. It's new technology that's untested. There are ideas that were put in it that haven't been utilized before. And then, you find out something and it takes you six months or more to get a new piece of equipment to replace whatever idea you had to improve it. And so, it could take a year and a half to get it optimized, or more, and you have all of the above.
Frank H. Boykin - Chief Financial Officer & Vice President, Finance: And I would just add on to that, Steve, that in this first quarter, we had for the total business, about $29 million of productivity. And that includes, like Jeff was saying, large major CapEx projects, but a lot of smaller CapEx projects, and a lot of smaller process improvement types of projects.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: One other thing in optimizing the pieces, depends on what it is and how much capacity, it could take multiple years to utilize the capacity. So not only do you have the learning curve of going through it, it depends on the marketplace and what it is and what kind of step-change we've made in the capacity of the business, and what's going on, in the market.
Stephen S. Kim - Barclays Capital, Inc.: So synthesizing what you're saying and trying to put it into, I guess, the language of investors, it sounds to me like you've got a number of things which are still playing out. It would certainly seem that, based on what you've said, that the lion's share of the step-up in productivity is likely not behind you, but certainly, in front of you based on the projects that you've currently got running. I mean, that's a safe assessment, right?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: That's correct. And then what we said is, we expect the margins this year to be incrementally better, but not at as a high a rate as they were last year. And then at the same time, don't forget as you're investing, there is also incremental inflation going on. Labor rates are going up. Insurance is going up. All these other things you're having the offset take away from it, in addition.
Stephen S. Kim - Barclays Capital, Inc.: Yep.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Start-up, there is a lot of start-up cost every year in the business that you're overcoming.
Stephen S. Kim - Barclays Capital, Inc.: Yeah. Yes, absolutely, I appreciate that. Second question relates to profit margins, in the IVC and Unilin businesses, I don't expect you to get terribly detailed in it, but, based on what we can see it, it seems, based on our triangulation, that IVC appears to be running at better margins in your Rest of World segment than we might have thought. And I was curious as, if you can comment, are you seeing generally similar margins at IVC to the rest of your base business in Rest of World? And if not, what do you think the timing is to sort of reach the mid-teens level that I think you've talked about for IVC in Europe?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: So we don't get that granular in the information. The margins with IVC were good when we bought them. The opportunities were to leverage their knowledge in pieces across the rest of the business and to put more investment in the business to grow their different categories. Immediately, they have helped us increase the productivity of our LVT plant in Europe. And you'll hear us that we've already announced to build another one. It'll take a year and a half to get up and going, so most of the opportunity becomes from expanding the business. They were operating fairly efficiently before we got there.
Stephen S. Kim - Barclays Capital, Inc.: Okay, great. Thanks very much, guys. Keep up the good work.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: You're welcome.
Operator: Your next question comes from the line of John Baugh from Stifel. Please go ahead.
John Baugh - Stifel, Nicolaus & Co., Inc.: Thanks for taking my questions. Let's see, I guess laminate expansion, I heard it was at the premium end. Given the growth of LVT and I assume the pressure it's putting on laminates, it's impressive to me that you feel you need more capacity. Could you maybe tell us what's going on? I assume that capacity is in Europe and not also in the U.S.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Our business in laminate, as we've always said, it's focused on the mid to high range of the business. Our laminate business is driven by bringing innovation to the marketplace that's differentiated. And we have led the industry in the next generations of innovation for the last 20 years. At this point, we're introducing new products that are higher style that take different equipment to make them. We have a different position in the visual looks as well as the length of planks we're changing as well as water-resistance technology. And for people interested in higher value and the best product in the marketplace, there is nothing to compare with ours. And we are expanding the sales of those businesses, even though laminate's under pressure, the higher end. And with our differentiation, we're gaining share in the marketplaces as those categories expand and people want to have better-looking products.
John Baugh - Stifel, Nicolaus & Co., Inc.: So, as a follow-up to that, Jeff, and I'd also love it if you could comment on units of carpet within residential and commercial, but as a follow-up to that question, are your lower-priced laminate capacity, is that not getting fully utilized or how is that situation? Thank you.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: I'm not sure exactly your question, because we really don't participate in the bottom commodity part of the business. Our assets are made to take on complexity and create differentiated looks, not to make commodity products.
John Baugh - Stifel, Nicolaus & Co., Inc.: So you're running your laminate pretty full-out?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: We are.
John Baugh - Stifel, Nicolaus & Co., Inc.: Okay. Any comment on residential and commercial units in the quarter? Thank you. Carpet.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: The industry units I think in the quarter were about flat. Next question?
Operator: Your next question comes from the line of Scott Rednor from Zelman & Associates. Please go ahead.
Scott Rednor - Zelman & Associates: Hi, good morning, Jeff and Frank. Quick question, how fast are your LVT sales growing across the business, since we can't see it with a lot of that in the acquired sales line?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: We don't give out granular detail by product. To give you something as a long-term direction, we talked about the investments we have. We have three plants that are some of the biggest and most productive in the world. We're adding two lines to them. When we get all our capacity in, we'll have over $1 billion worth of LVT capacity in our organization, which I don't think there is anybody close to anywhere in the world.
Scott Rednor - Zelman & Associates: Jeff, that would be including the 2017 investments that you alluded to?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: That's correct. That's correct.
Scott Rednor - Zelman & Associates: And then, just quickly on Xtratherm, you guys disclosed in the 10-K that it was a $160 million purchase price. Frank, can you give us some guidance around how much sales that asset has and levels of profitability that we should expect?
Frank H. Boykin - Chief Financial Officer & Vice President, Finance: The multiple was about one, a little bit over one times what the selling price was. So, it's just below $200 million.
Scott Rednor - Zelman & Associates: Thank you.
Operator: Your next question comes from the line of Tim Wojs from Baird. Please go ahead.
Tim R. Wojs - Robert W. Baird & Co., Inc. (Broker): Hey, guys. Good morning. I just had a question and then a follow-up. I guess the first question, Jeff, you came into the year pretty optimistic about the industry and the environment. Are you more bullish today than you were a couple months ago about 2016 and 2017?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: I think we're in the same position. We felt the markets were going to be reasonably good. We thought that our position in the markets were at the best it's ever been. We came in expecting to invest in all the pieces. And I think the biggest change is that these acquisitions take a while to get through and to assimilate in the business. And what you don't want to do is exceed the organization's ability to execute. And so the biggest change is the speed at which the organization has assimilated these things, and I think the organization can take on more than I thought it could six months ago.
Tim R. Wojs - Robert W. Baird & Co., Inc. (Broker): Okay. Great. And then just, Frank, how should we think about the impact to FX now, just given some of the movement in rates for 2016?
Frank H. Boykin - Chief Financial Officer & Vice President, Finance: Well, your guess is as good as ours of what the rates are going to do for the rest of the year, but with the euro at $1.13 or $1.14 right now, that's favorable to last year.
Tim R. Wojs - Robert W. Baird & Co., Inc. (Broker): Okay, great. Keep up the good work. Thanks.
Operator: Your next question comes from the line of Mike Dahl from Credit Suisse. Please go ahead.
Matthew Bouley - Credit Suisse Securities (USA) LLC (Broker): Hi, this is Matthew Bouley on for Mike. Thank you for taking my questions. I just wanted to follow up on the earlier productivity questions. It seems like the productivity gains have been particularly strong in North America and in Ceramic. And you're starting to see some gains come through in Rest of the World as well. So just going forward, how should we think about productivity at a segment level? So, where do you expect to see the greatest gains this year and over the next couple of years? Thanks.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: I don't think we have that detailed information in front of us. I think what we keep explaining is that these investment we've been making aren't to look at. The investments are to increase our productivity. We have very strict strategies about return on investment and hurdles they have to overdo, on one side. On the other side, the margins we're getting is because we're also investing in equipment that allows us to differentiate the products in the marketplace and get higher premiums. We talked already a little bit about the laminate business. We're investing in our older equipment in our ceramic business to make bigger sizes and smaller sizes, which most of our competitors don't have the capability. And so, these investments are helping the mix, as well as the costs in all the different categories. And again, like I said, if we can find more of them, we'll do them.
Matthew Bouley - Credit Suisse Securities (USA) LLC (Broker): Got it. Okay. Thank you. And then, just on the repair and remodel market in the U.S., just curious how you saw R&R play out during the quarter. So, if you saw an acceleration in the market and into April or if you've seen things maybe moderate a little as we exited the quarter? Thanks.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: It's still the slowest part of the different channels. The new construction and the commercial were better. Everything we read tells us that the consumers' going to spend more money on remodeling this year than before, all the projections we're seeing from others. We have not seen a huge upswing from the historical trends. We're still seeing the same trends we saw in the past quarters, but there is the potential that they improve significantly. And we would sure enjoy it, if it happened.
Matthew Bouley - Credit Suisse Securities (USA) LLC (Broker): Got it. Okay. Thank you, and good luck.
Operator: Your next question comes from the line of David MacGregor from Longbow Research. Please go ahead.
David S. MacGregor - Longbow Research LLC: Yeah. Thanks and congrats on a good quarter, Jeff.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Thanks.
David S. MacGregor - Longbow Research LLC: Just a question with respect to the commercial markets, what would commercial represent as a percentage of each of your three reporting segments? And can you talk about what kind of growth you experienced in the first quarter in each?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: I don't have that detail here either. Off the top of my head, I would think that the ceramic business has the highest percentage of commercial in the segment. It would be the highest. And the lowest would be the laminate and wood businesses in that segment, because they tend to have limited amounts in the commercial business in both categories, which would leave the carpet business somewhere in between.
David S. MacGregor - Longbow Research LLC: Once upon a time, your ceramic was about 40% commercial, but since Marazzi and everything else have come into the mix, would it still be at around that level or?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: I would guess it would still be in that area.
David S. MacGregor - Longbow Research LLC: Yeah, okay. And then, just a follow-up question, just you talked earlier about having fairly disciplined return on investment and hurtle rates with respect to internal reinvestment...
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: And acquisitions.
David S. MacGregor - Longbow Research LLC: And acquisitions, sure. I guess a lot of focus on your growth by acquisition, how that eventually becomes an organic growth driver, but as you invest CapEx back into your business, are the returns improving over the past few years or are they reflecting the pressure of the more global competitive situation?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Most of our internal investments, when fully executed, tend to be between two and four years. And most of the acquisitions tend to be more in the five year plus or minus ranges.
David S. MacGregor - Longbow Research LLC: Your model's become so much more global over the last few years, I'm just wondering if that impacts your hurdle rates and your ROI discipline, just because it's a more competitive situation, I would guess. What's trending there?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Are you talking about for acquisitions?
David S. MacGregor - Longbow Research LLC: Acquisitions and I guess I was approaching this at a higher level, acquisitions and internal reinvestment.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Our internal reinvestments, if they don't meet our hurdle rates, we won't invest in them unless it's something you have to have just to maintain the business. And so we have processes that we go through that say if they don't reach these rates, we're not going to utilize our money to go after it and find something else – and tends to be the fastest things are replacing existing equipment, because the risks are very low and you know that they're going to operate at fairly high levels as soon as you do them. On the other extreme, probably the difference between putting in new capacity in new product categories and something you own, what happens is it takes a longer time to build up the sales on the front-end, so you have the cost and the learning curve on the front-end without enough volume. So those tend to be a little longer, but the difference is the returns in the first year or two are lower, but when you get out to year five and six, they're much higher than the acquisitions as you go through. And then the acquisitions are all over the place. If you buy a really good business, you're going to have lower returns. If you buy one that's in difficulty, you're supposed to have better returns as you change the strategies within the business.
David S. MacGregor - Longbow Research LLC: Thanks very much.
Operator: Your next question comes from the line of Kathryn Thompson from Thompson Research Group. Please go ahead.
Kathryn Ingram Thompson - Thompson Research Group LLC: Hi. Thank you for taking my questions today. The first, just pulling the string again on acquisitions and particularly in the ceramic business, you're moving from the floor to more applications on the tile. As you move up the value chain in terms of building products, as you expand your total product line, what is your openness to go beyond just the walls, but even to look at other product categories that are tangential or adjacencies to help fuel additional growth?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: I mean, we've already done it in multiple occasions. For instance, we're one of the largest countertop distributors in the country today. And we got into it because we started out with ceramic flooring. Then we went to stone flooring, then the next adjacency over was stone countertops. Hence, we moved into it. So, the countertop business is an adjacency we've already moved into. We get the largest benefit out of buying things that are in the categories we're in that we can leverage our knowledge and marketing and distribution across the new business, and we get the least synergies out of going into something that's brand new. As we get further from where we are and we've done it when we moved from carpet to ceramic or ceramic to laminate or laminate to vinyl, what you see is, that when you see us move into the categories, we normally start by buying the best competitor in the marketplace. And the reason is we're buying the knowledge of the category as well as the business. And we start with the best. And then what we try to do it is feed it additional capital and try to see if there is other synergies between how we operate businesses, the information systems, the methodologies. And those things create more benefit. And then, as long as we're staying in things that go through the same customers and channels, we can actually pull their products into our channels and vice versa as we go through. The extent past there is going into totally new geographies. And we've gone into them both ways. We've gone into them Greenfield. And we've gone into them by buying what we perceive to be typically best-of-class in the category, too. On the other hand, we break our own rules. When we got Marazzi, we got a ceramic business in Europe that was performing horribly. And we put in a new management group in that and made that work. So, I think the only thing you can say about our strategy is we have the capacity to work in all types of environments.
Kathryn Ingram Thompson - Thompson Research Group LLC: And taking it one step further, if you were to look two to three years out, and given the remarkable progress you've made in the previous, say, three years, but looking three years out, what percentage of your sales would you believe will be to flooring and the balance being to essentially all other categories? And how does that differ from today?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: You're beyond my known horizon. I can tell you that if I can find enough things to invest and the things that I have is core knowledge basis, I would prefer that over others. For me to go into the other ones, something that we don't know, we're going to have to find the right candidate that gives us the right knowledge base, and we have to be a strong base in what we do to do that, we would consider it.
Kathryn Ingram Thompson - Thompson Research Group LLC: Great. Thank you very much.
Operator: Your next question comes from the line of Megan McGrath from MKM Partners. Please go ahead.
Megan McGrath - MKM Partners LLC: Good morning. Just a quick follow-up on some sales and marketing investments, especially in the North American market, just wanted to get a sense, obviously,, on the sales side, those are more longer-term investments, but on marketing, how should we think of that? Are these more sort of one-time short-term investments in marketing or should we think about a higher overall level of marketing spend over the next year or so?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: The biggest pieces of them are in expanding the sales force in order to get to more customers. And up until the point we said that our goal was to increase the margins and we were getting leverage out of it, we said last year, we're going to move from driving leveraging it to increase the margins to driving expansion, which we said we were going to do through expanding the sales forces, putting more investments in samples, putting more investments in displays in stores, and putting out more product categories and more differentiated products, which we would believe should help our business, margins, and market shares.
Megan McGrath - MKM Partners LLC: Okay, okay. And then, just a quick follow-up on that, you've talked in previous calls about, specifically about expanding their Pergo brand into different categories. I think I've seen it at some of the big box stores. Where are you in that process? And how are you feeling about how it's going?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: We're actually in the middle of expanding Pergo into the LVT and to laminate and engineered wood in different categories. And then we are looking at finding the right partners and distribution channels to do that, and we're at various stages throughout the year in implementing those things.
Megan McGrath - MKM Partners LLC: Okay, thanks.
Operator: Your next question....
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Just to make a note, Pergo is the most known brand in the flooring industry. So utilizing it and optimizing it across different product categories, we think is a big opportunity.
Operator: Your next question comes from the line of Michael Rehaut from JPMorgan. Please go ahead.
Michael Jason Rehaut - JPMorgan Securities LLC: All right. Good morning. Thanks. The first question I had was just on the overall outlook as it's coming together for demand for 2016. Jeff, you mentioned in your opening remarks that first quarter has exceeded expectations and also pointing to perhaps the potential for repair remodel in the U.S. to accelerate in the back half. So I was wondering if you could kind of give us a sense of how that kind of impacts your outlook for organic growth for the company for the full year. I mean, at this point, obviously, doing 6% organic on an adjusted basis is very, very solid. Would that type of organic growth, should we expect for that to continue throughout the rest of the year?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Listen, you're clever. You're trying to get to give you future estimates beyond the one quarter I gave you. I think that we're going to see a good year in the category. We've said that we think that it's going to be the trends of the industry will be similar to last year. You said it right. The biggest opportunity is for the remodeling business to increase, because the big upside there is not only is it more volume, the mix of the products are higher and they're higher margin. So, those are opportunities to go there. I think all things are in place to increase our mix, our margins as we go through. And I think what we've said is we anticipate the incremental increase in margins to be slightly less than they were last year. It gets harder and harder to keep pushing up the margins. And the sales we'll get to see with you when they happen.
Michael Jason Rehaut - JPMorgan Securities LLC: No. I appreciate that. And second question, just on the investments, a lot of discussion around that, but when you talk about, again, just so I understand it fully, the $1.2 billion to $1.4 billion that you expect to realize over the next three years, so I guess I'm thinking 2017 through 2019, is there a way to think about that amount of sales relative to just supporting your ability to grow with the market versus market share gains? In other words, given that you're at capacity in different of your plants, it sounds like part of this is just needed to meet the market growth itself. So, any kind of help on that $1.2 billion to $1.4 billion around what's, in other words, supporting the just natural market growth versus what might be thought of as in terms of share gains would be very helpful.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: I'm not sure I have an answer that's easy for you. I mean, you're right. At the size we're at, 5% of $8 billion is $400 million to grow 5% a year. We're putting in capacity for multiple years as well as going into new product categories, which takes further. So, I mean, if you say you're going to grow at these rates for time, it requires these investments to do it, and we're putting them in ahead in order to support it. How much we're going to take in share or not, I don't really know how to answer the question.
Michael Jason Rehaut - JPMorgan Securities LLC: Okay. Maybe we'll circle back on that later. Thank you.
Operator: Your next question comes from the line of Jane (sic) [James] Armstrong from Vertical Research Partners. Please go ahead.
James H. Armstrong - Vertical Research Partners LLC: Good afternoon. Thanks for taking my question. First one is on the market share of LVT in general, what do you think the market share of LVT, as a percentage of total floor, has grown to and what do you think the trend is in the next few years?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: So, we're talking in the U.S. market. In the U.S...
James H. Armstrong - Vertical Research Partners LLC: U.S. and globally, yeah.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: I'm not sure I know all those numbers off the top of my head. I think in the U.S., it's probably in the 7%, 8% range today. We think it's going to grow mid-teens as a category. So, the 7% or 8% in dollars would be about $1.4 billion maybe today. And you can figure $200 million a year, 15% give or take. So there is a lot of requirements as it's growing. The difference in it and laminate, for instance, it's in every market and every category where laminate wasn't. And we'll get to see how far it grows over time. As you can tell from our position, we think we have leading technology in the manufacturing of it. We think we have unique knowledge in the style and design of it, which we get from both our ceramic and laminate and wood businesses that we already have. And so, we're positioning ourselves to be a leader in it.
James H. Armstrong - Vertical Research Partners LLC: Okay. That helps a lot. And then, switching gears, you talked about picking up market share in Russia and that should help when the market over there improves. What do you think your market share in Russia has grown to, and what do you think it can do in the next few years as well?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Let's see. I think the Russian market has probably declined 35% in total since the thing started down. Our business is up, and so we're taking share from somebody. Some of it's coming from imported products that have gotten close to disappearing from the marketplace, which at one point were a large part. I would guess our share is probably somewhere in the 15% share as we start. Our strategy in Russia is we are focused on the mid to high end part of the marketplace. We have the only brand in Russia. We have owned distribution across Russia. We have about 300 and something franchise stores across Russia, which we own about 15%, 20% of. So we're well-positioned in the high end part of the marketplace, and we think we can keep exploiting it. We're basically running all our capacity. And then we're putting in new capacity this year that actually makes a higher level of product that historically would have come out of Italy. And our intention is to become the premium supplier of it. And that's where we are. And we think it is a good opportunity if the market ever turns around, we'll be in really good shape. And the negative at the time, though, is our margins are declining as we're driving our business through the market.
James H. Armstrong - Vertical Research Partners LLC: That's helpful. Thank you very much.
Operator: Your next question comes from the line of Eric Bosshard from Cleveland Research Company. Please go ahead.
Eric Bosshard - Cleveland Research Co. LLC: In terms of the SG&A investment, the sales force and the sample investment that you're making, I think SG&A was flat as a percentage of sales for this last quarter. As we move forward, how should we expect that to perform, both in terms of how you're strategically managing it and how the timing of the investments lines up?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: What you see is the total. So what you're really seeing is higher investments in certain categories offset by continued leverage in other ones. So presently, it's about flat. As we go through the year, you should see some improvement in it, even though we've been increasing others. So we expect the investments to level out and get some benefit from them as we go through the year, but you still have large parts of the business that are decreasing those costs as a percent of sales.
Eric Bosshard - Cleveland Research Co. LLC: In a similar vein, as you think about start-up costs for the capacity adds, where are we in that continuum? Does that number increase and then level off or is the 1Q representative of sort of what the peak of that might look like?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: I think...
Eric Bosshard - Cleveland Research Co. LLC: I'm thinking about how that impacts the margin of the business.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Let's see. I think this year, the start-up costs in the first quarter were around $10 million.
Frank H. Boykin - Chief Financial Officer & Vice President, Finance: $10 million in the first quarter and we could see $25 million to $30 million for the full year.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: This year.
Eric Bosshard - Cleveland Research Co. LLC: Okay. That's helpful.
Frank H. Boykin - Chief Financial Officer & Vice President, Finance: And we'll have more start-up costs in next year as well.
Eric Bosshard - Cleveland Research Co. LLC: Okay. And then lastly, just to circle back on revenue, the payback from these investments you've talked about is to sustain or drive revenue growth. As you look at where you are now and where you've been, are these investments to sustain the current rate of growth or to create incremental growth versus where you are now?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Yes in both, in all categories. So let's talk about when my ceramic business in North America. I am selling basically all I can make. I am supplementing it with product out of my other manufacturing regions. We have a new plant coming up. And so we think that the ceramic industry could grow this year in North America 5%, 6%, could be more or less. And it takes about a year and a half from the time you start the project to get the capacity up. So what you see is our investments are supporting the things a year, a year and a half out or more. If we don't invest now, we won't have it then.
Eric Bosshard - Cleveland Research Co. LLC: Okay. That's helpful. Thank you.
Operator: Your next question comes from the line of Bob Wetenhall from RBC Capital Markets. Please go ahead.
Robert Wetenhall - RBC Capital Markets LLC: Hey, guys. My question's been answered. Everything was crystal clear. Thanks very much.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Laura Starr from Nuveen Asset Management. Please go ahead.
Laura E. Starr - Nuveen Asset Management LLC: Hi. How are you? You answered a question earlier about those adjacency businesses, the non-flooring, whether it's wall or countertop businesses are growing. And I actually just had a question sort of on the wall surface businesses. I know that's growing very nicely. Is that all in the tile business or are there wall surfaces that are actually engineered surfaces? And where is the demand coming from mostly? Is it a consumer demand? Is it commercial demand, hospitality, office, healthcare, if you could just give a little bit more information on that?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: The business that we're putting on the wall is mostly ceramic tile. And ceramic wall tile is expanding. There is a trend in the marketplace to put decorative walls using various surfaces from wood, to laminate, to ceramic on the walls as we go through. It's a trend that's just starting. We think it's going to continue expanding. And we're trying to figure out how to push the strategy even faster with people decorating the pieces in there. There are some new technologies in ceramic to make really large wall spaces out of ceramic, for instance, could be a new opportunity down the road. Any of the product categories we make could be used as decorative pieces, but not as coverings over 100% of the walls.
Laura E. Starr - Nuveen Asset Management LLC: And in commercial versus consumer right now or where do you think it's going?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: I think it's going everywhere.
Laura E. Starr - Nuveen Asset Management LLC: Okay. And then, this decorative stuff, that's obviously going to be a much higher margin, right, versus just plain old tile on the floor?
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: It will be. When you start getting to create new markets and new things, they take a while to mature. So, when you go into new products, it doesn't happen overnight.
Laura E. Starr - Nuveen Asset Management LLC: Okay. Thanks.
Operator: There are no further questions at this time. I would like to turn the call back over to Mr. Lorberbaum. Please go ahead.
Jeffrey S. Lorberbaum - Chairman & Chief Executive Officer: We had a good quarter. We think we're well-positioned for the future. And we are trying to take advantage of all the opportunities we can identify. And we appreciate you joining us. Have a good day.
Operator: This concludes today's conference call. You may now disconnect.